Operator: Greetings, and welcome to the Primoris Services Corporation 2012 Third Quarter Financial Results. [Operator Instructions] As a reminder, this conference is being recorded. It's now my pleasure to introduce your host, Kate Tholking, Director of Investor Relations. Thank you. Ms. Tholking, you may now begin.
Kate Tholking: Thank you, Rob. Good morning, everyone. Thank you for joining us today. Hopefully, this won't interfere with your civic duty too much. Our speakers today will be Brian Pratt, our Chairman, President and Chief Executive Officer of Primoris Services Corporation; and Pete Moerbeek, our Executive Vice President and Chief Financial Officer. Before we start, I'd like to remind you that statements made today during the call may contain certain forward-looking statements, including with regard to the company's future performance. Words such as estimated, believes, expects, projects, may and future or similar expressions are intended to identify forward-looking statements. Forward-looking statements inherently involve risks and uncertainties, including, without limitation, those discussed during this call and those detailed in the Risk Factors section and other portions of our quarterly report on Form 10-Q for period ended September 30, 2012, which we filed this morning, and other filings with the Securities and Exchange Commission. Primoris does not undertake any obligation to publicly update or revise any forward-looking statements, whether as a result of new information, future events or otherwise except as may be required under applicable securities laws. And now I'd like to turn the call over to Brian Pratt.
Brian Pratt: Thanks, Kate. Good morning, everyone. As you saw in this morning's press release, Primoris had a record third quarter. Our revenue of $432 million was our highest quarterly revenue ever and represents a 15% growth over the third quarter of '11. This growth was driven by strength in our core markets. Our operating margin grew from 6.1% in the second quarter of '12 to 7% in the third. Our backlog grew to $1.1 billion, resulting in a double-dip ratio of 1.2. This number excludes our $241 million TxDOT award that many of the analysts have written about. That contract was executed yesterday. We achieved this growth while maintaining a strong balance sheet. We increased our working capital by 9%. The decline in our cash balance is a result of the type and the volume of work we have and continue to perform and the pressure that it puts off on ours and our client's staff to manage within the seasonality in some of our markets. Let me remind you that we perform the majority of our work with our own forces rather than using subcontractors. As the work ramps up in the late spring or early summer, our workforce and its commensurate cost and associated cash flows grow significantly. Moving on to our operating segment, I'll start with the West segment, where our revenues grew by 4.8% compared to the third quarter of 2011. California's underground group has done a magnificent job of managing this season's ramp-up in pipeline integrity work. In addition to this, the group signed contracts for new pipeline construction, electric and gas distribution projects, underlining the best of their service offerings. ARB Industrial continued work on 2 merchant plants and a peaker. As we told you last quarter, one merchant plant and the peaker plant should be completed in 2012, and the second merchant plant, the repower of El Segunda California, should be completed near the end of the first half of 2013. We acknowledge the possibility of a gap between the completion of these projects and the commencement of new projects of these teams. They're actively bidding and negotiating those bids for several substantial opportunities that would fit our workload nicely. We continue to see solar and renewable projects as a driving force in the California market. The solar joint venture projects are progressing well and there remains a reasonable flow of projects available to us. The longer-term market for power in California remains a strong one between a renewable push, new technologies and gas turbines, that once through [indiscernible] will generate a very substantial reconfiguration, repower drive starting in 2014. We are actively working prospects related to these market drivers. Construction group still faces challenging market conditions. Mark Thurman, our Group President, continues to diligently [indiscernible] with a tough market evidenced by our recent awards of $16 million of new work for his group. Rounding out the rest, turning to our Rockford group, led by Frank Welch, should generate roughly $130 million from shale-related projects on the Marcellus and CO2 injection and natural gas-related projects in the Powder River Basin of Wyoming for 2012. This is actually a little bit better than the original modeling at Rockford. These are exactly the type of midsized projects we envisioned in our Rockford acquisition and fit their core competencies well. Along with some of our peers, we're seeing significant ramp-up in large capital projects on the scale of Ruby Pipeline in the second half of 2013. Otherwise, we are a little bit more conservative than some of our peers and their estimates that one of these projects will begin construction, but it is our nature to be so. Our Engineering segment, revenue declined by $5.3 million compared to third quarter of 2011, mainly due to the completion of several furnace upgrades and refurbishment projects for 2 major U.S. chemical companies. However, the group signed several new contracts during the quarter, which will carry them into 2013. And in the next month, we hope to announce a new $35 million to $40 million mini-LNG facility, which will be constructed through an EPC model. The East segment saw a revenue growth of 39% compared to the third quarter of 2011. One of the main drivers behind this growth is the March acquisition of Sprint, which added $33 million in revenue during the quarter. When we bought Sprint, we modeled approximately $70 million in annualized revenues, and we now expect a run rate of about $85 million. This growth in associated profitability is largely due to excellent execution by Robert Grimes and his team. For [indiscernible] to improve and expand its systems, construction fleet and improve its cost and capital structure, allowing it to more successfully win and execute larger projects, especially the previously announced $25 million project in the Eagle Ford Shale region. [indiscernible] Cardinal Contractors has faced several years of challenging water and wastewater markets. And similar to our Constructions group in the West, we are seeing signs that the worst is behind us. The group has recently secured approximately $15 million in reasonably priced work in Florida, along with several current works in the Texas market. I feel we are finally seeing significant signs, if only anecdotal, of improvement in those markets. James Industrial Group is seeing the benefit of substantially improving markets for their services in the Gulf of Mexico region. The improvements in this market are driven by foreseeable long-term low natural gas prices, somewhat stable and adequate oil prices, clients' pent-up capital and maintenance needs, including system integrity, and a shortage of qualified contractors and personnel. We believe that our substantial contractors, Conrad Bourg and James Industrial, along with new subsidiary, Saxon, to grow their presence in the region. James Heavy Civil Group continues to have a strong year in Louisiana. Conrad accounted for 12% of our total revenue for the third quarter. While bidding opportunities and awards of new contractors -- new contracts in Louisiana has slowed, the Texas market is going strong. We believe the outlying work -- the flowing of the outlay work is a temporary circumstance and will begin to turn around in the next year or 2. The 2013 TxDOT budget includes over $6 million for construction and maintenance. Danny Hester and the James Heavy Civil Group had the foresight to increase their focus on the TxDOT market several years ago, and as of December 30, James was the second largest awardee of TxDOT contracts for the year. Again, this does not include the $240 million Belton contract. James already won a bridge construction project. One recognition during the quarter included an award of excellence from the Associated Builders & Contractors. Also, highway work on the I-35 near Gorgon was storied by ENR, the construction industry's main journal. I'm glad to see Danny and his team getting the recognition they deserve. As to acquisitions, Saxon, our most recent, is the company we both worked with and competed with for years. They're a good industrial company that landed a serious trouble on projects. They're offering geographies and markets we like. We feel we paid a fair price on an asset purchase. We're excited about working with Jeni Bogdan and her team to serve markets together that, perhaps, neither of us accessed as well before. As I mentioned earlier in the year, we would aspire to complete 2.5 acquisitions. In the remainder of the year, we're hoping to get one more sizable acquisition accomplished. Before I hand the call over to Pete to dig into the numbers a little bit more, I want to stress that while there continues to be uncertainty in the greater macroeconomic environment, the core markets of Primoris are still experiencing strong positive trends. While the political climate may begin to appear clear within the next 24 hours, we see substantial opportunities in our markets regardless of who receives the most votes. Primoris will succeed in spite of political outcomes. Remember, moving to Texas recently, I've become a cowboy fan. It's taught me well how to gracefully deal with disappointment. Now I'd like to turn the call over to Pete Moerbeek, our Chief Financial Officer.
Peter J. Moerbeek: Thank you, Brian, and thanks to each of you for taking time to join us on election day. Hopefully, by this point, you've had a chance to glance at our very nonpartisan Form 10-Q, which was filed this morning and which provides the details about our quarterly financial performance. I'd like to take a few minutes to highlight several areas and go deeper into some of the numbers. The bottom line for the quarter is our earnings per share of $0.34 compared to $0.38 in the third quarter of last year. Last year, the St. Bernard Levee project contributed $2.9 million to other income in the third quarter and effectively nothing this year. After taxes, that accounts for over $0.03 of the difference. But focusing only on other income, we grew the strong performance that we had. In this quarter, we achieved a record revenue level and effectively put a large unnamed project out of our rearview mirror. That project is mentioned prominently in the Form 10-Q. For the quarter, revenues were $432 million. Our largest customer, a Northern California utility, represented $69.3 million of that total. Year-to-date, our revenues from that customer are $144.3 million, which is almost $50 million ahead of where we were last year at the 9-month point. While we don't anticipate as hectic a fourth quarter as last year, we do expect that total 2012 revenues for that customer will exceed $165 million from last year. Our second largest customer for the quarter is Louisiana Department of Transportation, with revenues of $47 million. And while we expect to see long-term strong performance in our Texas area, our TxDOT revenues for the quarter of $23.7 million were only half of that in Louisiana. Our total revenues for the first 9 months of 2012 were almost $1.1 billion, with end market revenue distribution as follows. 40% is underground revenue, consisting mainly of pipeline integrity and pipeline construction. This percentage is up from 34% as of June 30, again, demonstrating the highly seasonal nature of this work. Our industrial projects, which are power plant, refinery and chemical work, were 22% of our revenues. Our heavy equipment work was 25%. Our Engineering segment was 3%. And our others, which includes parking structures, water and wastewater facility construction and mine maintenance, was 10% of revenue. Our operating margin for the quarter increased to 7% of revenues. At the gross margin revel, we achieved a 13% margin for the quarter, and for the year, our overall gross margin has remained consistent at 13% of revenue. While the overall level of SG&A expenses increased during the quarter, we maintained sufficient operating leverage to increase the operating margin from 6% for the first 2 quarters of 2012 to 7% for this third quarter. One of the reasons for the increase in the level of SG&A expenses is the increased volume of service orders and work authorization, both in the California underground group and Sprint. That's one indicator for the year-over-year increase in the number of work orders from 2,146 for the first 9 months of 2011 to 3,443 for the first 9 months of 2012. Sprint's portion of that increase was 656 work orders. During the quarter, we changed the accounting for our Blythe joint venture. We are consolidating the venture and reflecting the minority interest of noncontrolling interest at the bottom of the income statement and balance sheet. None of the balance sheet amounts of the joint venture were material at the end of the third quarter. The provision of income taxes for the quarter was $11 million. After adjusting for the joint venture partnership, our effective tax was up to be 38.5% of taxable income. At this time, that is the same rate that we expect our effective tax rate to be for the fourth quarter. On the last day of the quarter, we closed on a small acquisition, and that's the Saxon group. We paid $3 million in cash at closing, which included the payout of a $2.5 million note. The acquisition agreement included an earn-out provision of $2.5 million, contingent on Saxon achieving either EBITDA, as that term is defined in the asset purchase agreement, of at least $4 million for the 12 months ending December 2013 or EBITDA of at least $4.75 million for the 18 months ending June 30, 2014. Looking at acquisition, our expected expenses for amortization are as follows, assuming that everyone makes their earn-out target: for Rockford, $193 million of other expense and $345,000 of SG&A expense in the fourth quarter of 2012 for payment of $6.9 million next March; for Sprint, other expenses of 200,000 and an SG&A expense of 200,000 in the fourth quarter of this year for the payment of $4 million in March 2013 and other expense of $383,000 and an SG&A expense of 600,000 in the fourth quarter of 2013 for payment of another $4 million in 2014. For Saxon, we will spend $550,000 over the next 6 quarters. With the strong seasonal components of our business, the end of the third quarter is always challenging from a working capital viewpoint. During the quarter, our accounts receivable increased by $88 million and our costs in excess of billings increased by $18.5 million. These increases reflect the activity level and auto-correction of billing concerns. Our receivable days sales outstanding at the end of September were virtually the same as those of the end of last year. And our CIE increase reflects our need to accumulate information for cost reimbursable projects at the end of the quarter. During the quarter, our capital expense was at $11 million, and we still anticipate our 2012 year-end total expenditures to be approximately $30 million, net of proceeds of sales. During the quarter, the sales proceeds were approximately $1 million for a gain of $620,000. Our depreciation and amortization for the quarter was $9 million. As of September 30, our total outstanding debt was $82 million, and our debt-to-equity ratio was 25.8%. Of our total debt, $74 million represents notes secured by equipment and the remainder of the debt is capitalized leases. In October, we amended our credit line, increasing our revolver to $49 million throughout the end of the current year. Year-to-date, we expect $38 million in cash for Sprint, Slidell and Saxon, and we still have dry ammunition for a third or fourth acquisition. We paid out $1.5 million in dividends in the third quarter. In our press release this morning, please note that we changed the payment date for the next dividend to the end of December instead of early January. We did not repurchase any shares under the share repurchase plan, and approximately $19 million still remain under that plan through the end of this year. Our ending backlog of $1.1 billion represents a 5% sequential increase over the second quarter of this year. Both the East and West segments saw an increase in backlog. As always, remember that we do not include a dollar backlog unless we have a signed contract with no revenue amount. Therefore, we do not include cost reimbursable projects or anticipated MSA revenues in our backlog. During the third quarter approximately 18% of our revenues were not derived from backlog. For the East segment, of the $753 million in backlog, $366 million is from shore projects in the Belton area, which does not include the $241 million project. In our press release, we identified the anticipated revenues for both the fourth quarter of 2012 and the estimates for 2013. I'd like to now turn the call over to the operator, so we can get to your questions.
Operator: [Operator Instructions] Our first question is from the line of Lee Jagoda with CJS Securities.
Lee Jagoda - CJS Securities, Inc.: Can you try to break out, Pete, the revenue contribution from the large unnamed project and the work that you had in PG&E in Q4 of 2011?
Peter J. Moerbeek: It was minimal from the large project because it ended, for all practical purposes, at the end of Q3. There were some -- off the top of my head, I don't remember, Lee. I mentioned that we were -- we ended up at $165 million for PG&E last year, and we're at $94 million, $95 million. So we had a huge quarter from them. We don't expect quite as big a fourth quarter this year.
Lee Jagoda - CJS Securities, Inc.: How do you expect the fourth quarter to trend sequentially as it relates to the PG&E work?
Peter J. Moerbeek: I'm sorry. I didn't understand your question.
Lee Jagoda - CJS Securities, Inc.: So in terms of Q4 over Q3, what trends should we see in the PG&E work?
Peter J. Moerbeek: Traditionally, we see a pretty significant drop-off in December. I think last year was somewhat of an aberration in that we had a very large amount of work for the hydro testing, and a lot of that came in the fourth quarter. I don't think you'll see quite that large an increase in the fourth quarter this year.
Brian Pratt: It's pretty hard to speculate about it, Lee, because traditionally, we have to put the lines back in service for the winter, but at the same time, based on the numbers, I think [indiscernible] that we validated them. They're way behind on our spending curve in PG&E, and so I don't know if we have a way to expedite that and put more work in the pipeline or not. But every year, it remains difficult to predict what the fourth quarter is going to be like. So far, we haven't seen a big drop-off in our headcount.
Lee Jagoda - CJS Securities, Inc.: Okay, that's helpful. Just switching gear a little bit to Rockford, do you have the 9-month number on Rockford? I know you said they'll do $130 million for the full year.
Peter J. Moerbeek: The Rockford revenues for the first 9 months, that's like $90 million.
Lee Jagoda - CJS Securities, Inc.: Okay. And then one more question and I'll hop back in queue. Did I hear you correct, Brian, when you said we should expect one more sizable acquisition coming before the end of the year?
Brian Pratt: Well, I promised you guys 2.5 was kind of our goal, and we've kind of got 1 and 2 halves. Our problem is we're running out of time in finding another company that starts with S. We did Sprint, Slidell and Saxon, so we've got a real tight criteria there to find the fourth company with S. But we're optimistic that we can get one more done at a reasonable size. It's not a $300 million or $400 million company, but it's a good enough size that we're interested in.
Operator: Our next question is from the line of Richard Paget with Imperial Capital.
Richard S. Paget - Imperial Capital, LLC, Research Division: Brian, in the press release, you talked about you feel relatively confident that backlog should grow towards the end of the year and into next year. Now I realized part of that is that last belt and leg of I-35 that's going to go into backlog in the fourth quarter. What other areas are you fairly confident about kind of hitting back August, especially as you burn off some of these other larger projects going into next year?
Brian Pratt: Well, we just had an internal kind of lesson on this a couple of days ago. The way that public work goes is you bid the job. You're announced if you're current low bidder, which gives you time to see if your bid is accurate, true and correct. And then you go to awardee, and they award you the job, and then they start their due diligence on did you meet your disadvantaged business enterprise numbers and is your bond good and is it a sound enough bonding company, is your budget okay. And they go to a contract. So we announce stuff when we get it to the contract stage and we execute it, which you'll see an announcement on the Belton job in the next couple of days. Our private guys have their own various processes there. When I look at the work that's in the pipeline between the bid or the negotiated stage and where we're going to have contracts executed, I'm very optimistic that we'll see a good increase in our backlog. Already starting with the $241 million Belton job through the quarter doesn't hurt any.
Richard S. Paget - Imperial Capital, LLC, Research Division: Okay. Well, I know you mentioned the LNG project. I mean, are there any other -- is there any other particular area that these are coming out of, or is it kind of wide-spread?
Brian Pratt: Well, you got the LNG projects. You've got several large industrial projects on the West Coast. I mentioned coming off these big power jobs and the opportunities there. You've got -- when we originally -- we're committed to these garbage-to-energy projects in Puerto Rico and the Caribbean and then several in the U.S. mainland. We put those to backlog because we have a contract, and they are one of them. And then we took it out of backlog because they decided to go to an EPC structure, and those projects have been held up, based on what the clients tell me, due to the election and things, like the politics, around them. We feel confident that they're going to be awarded moving forward. Those are sizable backlogs. Those are now smaller ones at $60-plus million, and the other ones are larger than that. And then you've got the normal process of the highway work. You've got a job that we've been awarded in Texas for $20 million, for Bill McDevitt's water and wastewater group that goes before the city Council, I think, Thursday next week, November 14. That's kind of perfunctory. We're within budget. We've met all the requirements. So we just see enough in the pipeline there that I'm comfortable with where we are, and it's pretty much across the board.
Richard S. Paget - Imperial Capital, LLC, Research Division: All right. And then, Brian, you've mentioned the election, and regardless of the outcome, your end markets will still do well. Now personal views aside, and I'm not sure you can do that, but what should we think about if Obama wins? Is that good for alt energy and heavy civil? If Romney wins, is it on pipeline and energy? I mean, what should we be focusing on with the binary of that? And then the second part, are there any specific issues being voted on in some of your big markets like California or Texas or Louisiana that we should look at that could benefit you depending upon the outcome?
Brian Pratt: Well, I'll go backwards, go backwards on the question because that's the easiest. The answer is no on specific issues. Obviously, the rural area is here and there for bond and those things for funding towards the industry, but nothing specific to us. I'm still trying to figure out what the current administration's energy policy is, so I can't tell you whether -- I know they're not going to be helpful towards coal. They've been a little bit harmful towards LNG because they don't seem to have a -- they're trying to hurt coal, so they're trying to suppress the prices of natural gas, and the best way to do that is suppress demand, which the best way to do that is not grant permits for export of natural gas or LNG. So they further went with signing the larger projects for export -- for manufacture and export of LNG. That's been a negative. I do see they're pushing towards renewables more so than they have. I don't know if they're going to write any more stupid loan guarantees. But right now, they don't like natural gas. They like it less -- they dislike it less than coal. I think there'll be less new pipelines granted permits, that they'll be stricter. They'll have tighter environmental restrictions. The existing pipelines will have much more onerous environmental and operating restrictions, which will be kind of good from a maintenance standpoint, but you're going to see a suppression of, perhaps, new work while an increase in remedial work and mitigation work. On the road side, I think either group would have to -- where they're going to get parts of this economy go is to educe the construction business, and I think either group would probably be looking at some kind of infrastructure act or -- I don't think the loan guarantee bank that they talked about is worth discussing because it's a crappy idea. But to generate the kind of jobs they want to do and for the Obama administration to pay back to the labor unions, they're going to have to educe the highway work, which is easy to do. And every recession we've ever been in, that's been the primary way to get out of it for the feds. So it's a menagerie of stuff. I think natural gas just by this year, the impetus of the price and the market and its availability and the economics, it has to get developed. It'll just be developed under much more tighter restrictions under Obama than it would under Romney, which, for us, actually is kind of a positive because coming out of California, where we have a lot of our operating people, they know how to work with those tight environmental restrictions. You've got to worry about killing turtles and lizards and flies and stuff, and that kind of stuff, we're operating well coming out of the environment we're in -- we've been in. I'm sorry to give you a long answer that didn't get to the point.
Operator: Our next question is from the line of Tahira Afzal with KeyBanc.
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: So I guess my first question is could you talk a bit about your utilization rate in your different segments? And that's just in the aspect of demand for a lot of your work that continues to grow going forward. I would love to get an idea of how much you can sustain organically.
Brian Pratt: Wow. Well, I think that that's a big question because you got to deal with every market. I think the Engineering group has plenty of room to expand. The pipeline group is -- you heard a lot of people talk about various -- our competitors and how many spreads they can stand up and equipment that they own. We have an equipment to stand probably 3 to 4 spreads, depending on the size of the pipe and how fast you have to go. But the restraint becomes how many crews do you have to man the equipment. Then you have to have a bit of extra equipment because it always seems to be in the wrong place for the next job. And so I think generally speaking, we have the ability to grow organically very significantly based on equipment. Based on people, I say the same thing, but the industry is really going to head into some high demand for good people. And we have a lot of them. That doesn't keep our competitors from trying to hire them. I think we were pretty good at retention without having to overpay people. But I think that's going to be very, very acute for the construction business. And it will be national. They're predicting the need of maybe 150,000 craftsmen into the Houston market, the ship channel market over the next couple of years, I mean, so that's one market that when -- we get busy in California. We need welders to build a power plant. Typically, they drive from Houston or from Texas or Oklahoma because the pay in California is more and they like living out there. They work year round. But if the market in Houston heats up, it's going to impact every industrial market throughout the country in terms of availability of people. And I think that's not just the industrial market, that when they're laying pipe and they're doing foundations for refineries, it impacts the heavy civil guys because those guys will put you to work for a couple dollars more in a different market. So I think we're very well set to grow organically. I'm very comfortable we can obtain the numbers that we want to obtain organically. We're going to continue to be inquisitively, although I think we're going to take a deep-breather after doing 4 of these -- excuse me, 2 and 2 halves so far this year. We're going to take a deep breath and say, okay, we need to work on our systems and make sure we simulate well. But we're going to continue to grow our capability organically, too. But in general, if a contractor tells you he's got plenty of room and the competition doesn't influence him and we're not going to see a labor shortage, he's not in the right kind of business.
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: Right. Okay. And Brian, we started to see some early petrochem awards flow through. You guys provide heat exchanges and all sorts of businesses. From the front-end side, you do some work there. So can you give us a color on timing wise, how you see this petrochem side as playing out? And clearly, as for the last set of questions, whoever's in power does influence that. But we'd love to get your thoughts, whether this is like a late 2013 ramp up or more like a mid-2014?
Brian Pratt: You asked some very questions that could be used for the base of an answer. The latter authority here, Conrad, the investor group, is already ramped up. I think he said he has well over 300 guys in the field, which is a pretty good ramp up for him. And those jobs are just starting. He's got some work there for Westlake Chemical and his real expertise, along with Saxon's, is more on gas processing. And that side is already ramping up with this LNG, the possibility of these LNG plants and these refinery retrofits and everything else. So I really couldn't give you a feel. I don't follow that industry that closely. We're just now beginning to penetrate more and more with the James guys. But it's already in short supply. We're already seeing waters coming in from the Philippines and places like that, which is pretty hard to believe when you've got 7.9% unemployment rate. But the ramp up is upon us and it's going to grow quickly and the shortages will be felt very soon. So what you have to watch out for is pricing the work to try and stay ahead of the cost ramp up because if the demand for services ramps up, our labor is going to feel that. We're going to be hiring less sufficient labor. [indiscernible] feel that, they're going to get a little pickier about their prices and terms and the order is to stay ahead on that with your client and make sure that you got it adequately priced and reflected in your deal with him. And the guys that don't do that are going to have -- they're going to struggle a little bit next year, 1 1/2 years. The ramp up's already here, the pipeline business has kind of exacerbate that. And the revenues that were pipeline work industrial. The clients are going to feel it because they're going to have to reach into the depths of their companies and put people in charge of capital expenditures that aren't qualified. That means we're going to struggle pulling guys, dragging guys through projects that don't know how to be drug through projects. It's going to be a lot of fun. We're looking forward to it.
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: And Brian, I mean, are your customers amenable to sort of cost plus projects if tightness is building up? I -- would you, because you have such good experts, between fixed price continue to want to do it. Is it -- as you look into 2014, you see the cost-plus mix and does that impact your margin trajectory?
Brian Pratt: Yes, and I think we've talked about this before. I actually prefer to on some work, unless you're in a real dynamic market. At the same time, these clients are anticipating budgets that are unreasonable and we do the work cost reversible that's a new set of risks. But you know how I feel about that, but many of the projects we're pursuing, we just signed one with Saxon the other day, which is a brand of cost contract, which they have kind of a very engineered and defined scope of work on the portion of the project, and the balance of the project is reimbursable because your engineering is running behind and the scope is a little bit squishy. So it will work either way. When you work out and book with a client, the margins are less. Allegedly, your risk is less than a lot of times it's that open book that permeates into a vested budget, then your risk is the same or greater.
Operator: Our next question is coming from the line of Richard Wesolowski with Sidoti & Company.
Richard Wesolowski - Sidoti & Company, LLC: Regarding the competitive dynamics for gathering line work in the Marcellus and the Williston areas outside of Sprint's areas, I understand that the owners are tapping same contractors that they used for successive small task orders or projects rather than putting everything up for our fee. Is that accurate? And if so, how is it possible to expand the business or to establish yourself there?
Brian Pratt: In our case, it's kind of accurate in the Marcellus. We're working for one client up there and these guys were putting out a little flow line here, a little flow line there. By the time they paid the contractor, Marvin Debot [ph], and get to job and there's a lot of fixed cost involved in that, their cost was way too high, their administration efforts were kind of nightmarish. So we negotiated with the client, got another package deal and then we negotiated each project, and then it allows us to get this kind of stream of projects put together where we can coordinate the flow from one to the other. And the clients then are exceptionally pleased, at least that's what my guys are telling me, they've been exceptionally pleased with the results. It seems to be the case because the client keeps coming back to us for more. Now your margins are less in that circumstance, but it's always good to have happy clients. We're seeing that. I think the strain is going to come as this capital where it comes on and some of these clients are tempted to take these better queries that they get busy in these areas and trade them out for a big capital job, where they could make more money. And you know, we grew up with the mantra to never trade an old friend for a new friend, and that's probably cost us some real profits over the years, but it's kept our core clients pretty happy with us. But that's when you're going to be able to upscale kind of these markets you're in. And then even these guys that are kind of been fortunate and had a good run with clients, even they screw up from time to time. The safety issue, or an unhappy land owner or something like that can go a long way to get you chased off of a project or off of the bid list. We see all the real great opportunity. We think we've kind of gotten what we want up in Marcellus on the reimbursable. There's a couple of projects up there and we're kind of working short listed with some clients on that are really good projects for us, large capital projects. But we aren't actually looking at -- Sprint's first project was in the [indiscernible] that we just got awarded for Cardinal, with really our first state large capital project in the Eagle Ford. Most of their other work had been in and around Houston up towards Mississippi. So we're were taking the existing clients, this is for Cardinal, and people like them and enterprise and in energy transfer and we're trying to exploit new areas for them, where they have been disappointed with their current stable of contractors. That's not always easy because you go into these new areas and if you can't bring new laborers and your same old laborer was a different colored pickup on the right of way, but we think there's an on opportunity there to continue to expand because the Sprint guys were underutilized, they're good guys. Brian's has been in the business forever. Now I'm forever, he's a couple years shorter than forever. forever. He knows the clients, he knows the workforce, he can execute well. The work we've got is going exceptionally well, but we think we can lever that to get him into areas that he's not currently working in as much as we'd like, like West Texas, places like that.
Richard Wesolowski - Sidoti & Company, LLC: If Primoris wins long-haul pipeline work in 2013, will that be wholly additive to your west sales or will some of that labor necessarily detract from your gathering line business?
Brian Pratt: Well, I want to correct you, when Primoris wins the long haul pipeline in '13...
Richard Wesolowski - Sidoti & Company, LLC: I would never be so presumptuous.
Brian Pratt: Obviously, you don't go through a little slower time and let out all your better people and work all the guys who should work secondarily, we're going to spread out and bring more people. I think some of the advantages we have is that we did nothing the first half of last year. I mean, Rockford did, what, $13 million in the first half, $17 million, while some of that was Ruby, the rest is residual. So that happened pretty quickly in the second half, but we didn't even narrowly begin to tap our entire resources. So I think we think we've got some good capability that we haven't used yet. I don't think we're going to allow our gathering line and flow line clients to suffer with less than what we've given them in the past, in terms of quality.
Richard Wesolowski - Sidoti & Company, LLC: There seems to be a lot of opportunity stretching out. But I'm wondering, with the impending completion of the couple of gas-power plant projects that have been in the pipeline for a while, should we expect a lull in your west revenue growth in early '13?
Brian Pratt: Yes, there's 2 issues that play into that answer. One of them is, is there work? And yes, there is -- work, there's 3 issues. Is there work? Yes, there is. Can we win it? Yes, we can. We're in the process of doing so, we're going to start on time, and that's a real question because these environazis on the West Coast, I'm pretty sure they're not listening to this earnings call. You may -- you can't get them out of the way, even if -- as example, it's not in West Coast, but the trash burner, we're talking about in Puerto Rico was interceded, the permit process was interceded by the Sierra Club. And here you've got a process that takes garbage you are burying in the ground and creating methane and all kinds of nasty stuff, and here we're going to clean it and make clean power with it, as clean as you could make, and the environazis get in the way of the deal. So that's the third part of the equation. So we had a couple of jobs already teed up by now. I don't think the election's impeding those like jobs in Puerto Rico, but I'm comfortable work is there. I'm comfortable we'll win our share, whether it starts within a reasonable time or not, I can't say.
Operator: Our next question is from the line of Dan Mannes of Avondale Partners.
Daniel J. Mannes - Avondale Partners, LLC, Research Division: So first, I want to touch on large pipe as well. You gave kind of a conservative tone that maybe the large pipe wouldn't really pick up until the second half of next year. But given where you sit now, how do you see it progressing to that, i.e. some of your competitors have talked maybe about more negotiated deals rather than true bids. Maybe some shift towards cost reversible rather than fixed price? How do you sort of see that playing out and could this -- how much better should we be getting from where we are now?
Brian Pratt: How long is a piece of string, I think is the answer. We're seeing negotiated deals. We're currently shortlisted on a couple of projects that are already bid in the first half of '13 to pull out the second half or the first half. So deep into the second quarter, I guess, better said, I don't think anybody's going to be in a hurry to go up and start a job in the Northeast or up near the Bakken in the middle of winter. It's just really tough. So logically, it's going to be the second half of '13 before it really gets going. It's there. We're bringing in, we're bringing the work. We've been invited to negotiate some. We'll do that too. Whether it ends up, I mean, every job we do is a bid. I bid in [indiscernible] and I bid in cost plus. For us, the biggest issue is, does the client have a reasonable expectation as to what this work is going to cost him? And there's been a couple of jobs we recently bid where the client pulls back and gasps, it basically took his breath away in terms of the cost of lump sum work. However, it's the nature of work because it's in a tough area during the middle of winter, and then it's just the financial terms that the client expected. Some of it is just the fact that I think most of the bigger contractors are anticipating a tight market for labor over the next couple of years and they're going to be picky about what they take on. I think the first couple of guys to get work may regret it if they pick the wrong client or the wrong job or the wrong price. At the same time, the first couple of guys to get work will kind of have a good labor to whom maybe they can take it to the next job. It's a mixed bag. I think it's going to get pretty exciting. I think typically when you go into these guys' booms, if you looked at 2008, 2009, which was when a vast majority of the money was made, money isn't made in these booms in the first year or 2. It's made in the later years as costs kind of get understood and spread out and you understand the labor storage and you start reflecting that in your terms and the client understands and it and appreciates it. It hasn't -- that market, that great market hasn't been gone that long, but the clients have kind of a bigger memory of some of it because they think their price is worth. So it's tougher to get the kind of terms you're going to want on a reimbursable job. And then you always face the danger, we were very concerned, we always face the danger, even on a reimbursable job, if the clients come in and he hires a forensic auditor and pays him a success fee if he finds something he can back charge you for. Both delivery systems, both cost plus and lump some are fraught with risks and you mitigate those by working good contracts. More than that, you mitigate it by working for the right client. And we think we're pretty good at picking -- at doing both.
Daniel J. Mannes - Avondale Partners, LLC, Research Division: Okay. A quick segue on the pipe side. Because most of what we've talked about in the large pipe side is Rockford, but when you think about Sprint and going after big jobs, it sounds like you plus it on some -- how big jobs can you go after with Sprint? And sort of how could that play out in terms of participating in some of the bigger things, maybe in the Gulf Coast region on the pipe side?
Brian Pratt: We realize that the size of job we look more at the difficulty of execution. And technically, the jobs that you do at the Marcellus are much more challenging than the job you do at the Eagle Ford. Eagle Ford is what we call container dirt where you dig it with a trenching machine and it doesn't have a lot of interferences in the right [indiscernible] the alignment of the pipe. So you won't have to dig long straights and you lower it in and you go like a house afire. I mean, there's days down there on mid-size pipe, or even large pipe, you can lay 2 miles a day. Now you go to the Marcellus and it's exactly different. It's tough country. You've got some farmland up there but you're dealing with farmers and cows falling in your ditch and the guy chasing the farmer's daughter. It's exciting. But the work is technically much more challenging. There's a lot of rock, there's a lot of drilling, just your access. It's more difficult because you're going over bridges and shorter sections. In general, Sprint's good up to about $100 million, maybe more on the right part of the Eagle Ford or the West Texas, kind of work. I would never dream of taking them some place like the Marcellus. They're very good at it, but that's just not their environment. They do a lot of backhoe work around Houston, but they're not dealing with the hard rock and the hills that you deal with up in West Virginia and Pennsylvania and Ohio. There's some really steep country up in that part of the world.
Daniel J. Mannes - Avondale Partners, LLC, Research Division: I was thinking more things like Sea Way and Texas Express and some of the bigger jobs that are coming?
Brian Pratt: I think we've got a bid submitted on a portion of Texas Express with Sprint. It's not up in Ohio, it's down south.
Daniel J. Mannes - Avondale Partners, LLC, Research Division: Okay. And then real quick on Saxon, it seems like this should give you some leverage to potential big jobs and on the power side, how big jobs are you comfortable going after with that business? Or just given maybe some of the issues they've had prior to the acquisition you're going to sort of start small and build up?
Brian Pratt: Well, they've done a serious amount of power work. A lot of it was ESP's and for coal. And they also, where they're really strong is on process work on earth separation units and stuff like that, where people like fracs there and their products are -- we're going to -- I won't say we're going to get more time in but we're probably put a whole fleet in, the way they get [indiscernible] and we may not. I doubt it because I think we got some pretty small guys. We're just now beginning to feel our way around with flanging up those Saxon guys with the James guys, James Industrial guys. And we competed with them a long time, we understand how they bid. On the one job they got that we've kind of inherited, we signed it post the acquisition, James and Saxon was low. There is a great opportunity there for power. I think it's going to be a long -- there's going to be a long projects stream. So I don't think we have to jump into it immediately. I think if we get 4 more years of Obama, the coal guys are dead. They're not going to build much more coal. The coal is there, it's going to generate quite a bit of work as you're going to have to put air pollution devices along the existing plants. That's a lot of work and big capital work. If we get one of these and the gas works kind of explode, either way, you're going to see a lot of gas processing work. So it opens up the big markets that you think we're going to be bidding $400 million, $500 million of jobs next year. That isn’t going to happen. We're going to run before -- we're going to rock before we run.
Daniel J. Mannes - Avondale Partners, LLC, Research Division: Okay. And then if you will go through one last question. A couple of comments in terms of the potential gap on the air via industrial business, particularly with Valser Genderwolf [ph] finishing up next year. But in the scheme of things, I mean, my understanding is there would be industrials maybe 10% total of the west businesses or maybe a little bit more? I guess I'm just trying to understand when you talk about the gap, how big a risk is that to being able to grow in total or is that -- are you the sort of flagging it as just maybe one area of headwinds where everything else seems to be going pretty well?
Brian Pratt: Well, they're really more than 10%, I guess they're more like 20% -- 15% to 20% of west -- of total. Hang on for just a second, we'll do the numbers. 13% is from Mark Thurman, which about 2/3 of that is power. Now remember, we do a lot of work with the Kinder Morgan's and the Morial's [ph] and the, down in the harbor we're in the port for material processing and stuff like that. And I've got -- I think it will end up filling at least one of the teams. We have 2.5 teams kind of coming available. Don't forget though, that these teams can be committed to this work in Puerto Rico and some of that kind of work, and then you've got the solar work that is not really what we consider conventional, however it's got some good opportunities out there have to be left. I'm not laying awake at night, here in about 4 months that they don't land. At least Paul will be laying awake at night. But I think we could more than make it up with these other acquisitions if there's a bit of [indiscernible] I don't think it will happen, though.
Operator: Our next question is from the line of Adam Thalhimer with BB&T Capital Markets.
Adam R. Thalhimer - BB&T Capital Markets, Research Division: Just a few more for you. Number one on the East Construction segment, the gross margins averaged, call it, 10% over last year, I just wonder, are you happy with that or is that like a good run rate or how do you think about the gross margin there?
Brian Pratt: I'm never happy with margins. Did you want more color?
Adam R. Thalhimer - BB&T Capital Markets, Research Division: Please, yes.
Brian Pratt: Well, you got to remember that when we put a job in the work in process, we put it in 2 tranches. We have profit and we have a contingency. And when you've got 1% of the job worked off, you recognize about 1% of the profit, but you've still got 99% on a contingency left. We're pretty conservative how we recognize profit and what happened in the last couple of quarters is we've had bigger jobs were the contingencies always were able to recognize those things, so the margin kind of increases. That happened towards the end of the last year. As we got into this year, we started a bunch of new work. We're kind of recognizing a moderately reasonable profit but we're holding back on the contingency due to a whole lot of things that could impact us. That's just the way we are. We always seem to be very careful about how we recognize things. We actually did that even on the bigger reimbursable jobs because you always worry about this forensic attachment that's going to come in. So we actually held, as you saw, we actually recognized profit in the first quarter on Ruby. That's a job that's been done for 6 months. But once we got a full and final release, we are able to recognize that. So what you see on the Heavy Civil is kind of that process. We're starting a bunch of new bigger work and we're pretty cautious about what we recognize. We give the new revenue recognition, rules out of the gaff people, god's word will be recognized at that point, so -- and then it's hard to get the margins up, Adam. I'm never happy with margin. It's a marathon for me and we constantly look at ways to increase margin. And the guys are good at it. They really -- because they're figuring out better ways to make money on the last day of the job. They're figuring out better ways to make money. They're just great at what they do. I can't imagine a better group of people to work with than the guys we have.
Adam R. Thalhimer - BB&T Capital Markets, Research Division: Okay. Good. That's helpful. And then did you comment on the PG&E alliance agreement? I thought that it ended at the end of 2012. Can you update us on that? And maybe just talk broadly about competition for that work?
Brian Pratt: Well, they change the operating method every couple of years. I think it's to prove prudence to the [indiscernible], but they tried to do it all thing and that hasn't worked well for them because they're obviously changing back to the alliance method. We've been in some of form of alliance are working for PG&E for 60, 70 years, but I think we're pretty ingrained into the market. The process is in play right now. I think those go in and I probably I think I remember it was mid-September or mid-December. And then there will be a big kind of dark period where they'll study and hem and haw and scratch a pen and then we'll kind of get results. So that -- it's also the reason we're a little bit suspect as to how long the volume work will continue at the current pace. Some of it is whether some of it is processed and sometimes they actually expedite work into the old system so they can get it done knowing that the new system is going to be so slow turning it up under the alliance. I don't know whether that will happen this time. I'm betting that it will because we're so far behind in curve on your capital expenditure required budget. But we're in the process right now, I couldn't shed any light on who might be covering this [indiscernible]. The last time they did alliance, they split it by areas. We got the heart of the area, which is the Bay Area. Some of the guys got Eureka, up in Northern California, which is tough to service because you've got your -- got to put your windshields on. But I don't have a very good app. I'm confident we're going to be in the Han [ph] whether we can get any or all of it and we're at standby and we're just going to be able to bid work. Hell no, I think they'd be hurt for us without us. But that doesn't mean they won't try.
Adam R. Thalhimer - BB&T Capital Markets, Research Division: Okay. And then lastly, I mean you already did a lot of work in the Marcellus now. Should we bake in any kind of impact from Hurricane Sandy, just in Q4?
Brian Pratt: We were down because of weather for a couple of days, but it was a couple of days, it wasn't a major impact.
Operator: Our next question is from the line of John Rogers of D. A. Davidson.
John Rogers - D.A. Davidson & Co., Research Division: How's your backlog right now? The 1.1, or at the end of the third quarter, how much is pipeline work?
Brian Pratt: Probably, there's a little bit of Sprint in there and there's a little bit of PG&E work, so probably between $50 million to $100 million.
John Rogers - D.A. Davidson & Co., Research Division: Sorry, how much?
Brian Pratt: $50 million to $100 million.
John Rogers - D.A. Davidson & Co., Research Division: And the projects that you see coming in 2013, are they expected to be large backlog projects? I mean, Brian you talked about hitting them and negotiating them both ways and just trying to think about how much visibility we're going to have as we go through 2013.
Brian Pratt: Well, part of our balance sheet right now is the shift from cash to A/R and cost in excess. Let's take an example, one that we're going to hopefully going to end up with is the $20 million job that's -- we'll start late spring and be done by September. So do the math, you come up in the game, $20 million a month. It's just it burns off quickly. So you see backlog one quarter. The next time you look at it the next quarter, it's half done. This doesn't burn off like your traditional backlog. It's reimbursable, we're not going to hit it in the backlog unless we change our MO. I don't think we will. But I guess kind of the bigger job to get it done is $200 million to $250 million, you'll probably going to see it more reimbursable, although we'll bid them. But they'll hit backlog and then when you get to a certain level and depending on who the client is and what kind of work is for, example, if we get awarded this project, it will probably get backlogged by the end of the quarter. It wouldn't start till third -- really wouldn't start meaningfully until third quarter. So it's on there a long time before it starts, as is the Heavy Civil. But it goes quick. So I think we'll show the backlog you get, and the visibility you get.
John Rogers - D.A. Davidson & Co., Research Division: Okay. In terms of just thinking about margins, and I know you're not satisfied, but are the large -- is there a distinction when you're doing large diameter in some of the smaller diameter projects? And I'm thinking more especially how the materials flow through your income statement?
Brian Pratt: Well, we provide very versatile material. We provide, we call it Consumables, which is drilling mud, welding rods and things like that. Concrete for the foundations, but we don't provide any pipe.
John Rogers - D.A. Davidson & Co., Research Division: And on the smaller projects?
Brian Pratt: Well, on some ordinary projects we're going to -- we'll count them, they're a little more vague, and we're providing all the pipe for that. But in general, even the smaller, you don't provide a heck of a lot of material. Even the big power jobs, we will provide some -- a little bit of the small diameter pipe and a little bit of the steel, but the engines and herdigs and stuff come from the pipe because of the lead time. But even as right now on some of the smaller delta work, we'll provide some of the pipe, but it's kind of meaningless in terms of the value -- I mean 10% is the most in a pipeline job.
John Rogers - D.A. Davidson & Co., Research Division: Okay. And then just lastly, the small LNG project storage facilities, how big are those?
Brian Pratt: Well these are actually -- this is a LNG -- we make the gas liquefaction plant and I can't off the top of my head remember the size of this one, but the broad, the one we put in at the Brax [ph] plant for the boom a couple of years ago was 120,000 gallons a day. And that revenue does about $80 million -- they have in excess of -- they have way too much storage because they use it a distribution facility also. But this will be almost as large, I believe, but it doesn't have nearly the storage that we would put in for boon out there. But Shell is going to convert 1,200 stations to LNG. BP is looking to follow in suit. We think there's going to be a lot of these little mini plants built and they're going to be pretty much strung out over the whole country.
Operator: Our next question is from the line of Richard Diamond [indiscernible].
Unknown Analyst: I know you've talked about environazis, but you do sort to California, to the Texan it makes no economic sense. Is it fair to say no matter who becomes president, you don't let politics get in the way of making money?
Brian Pratt: My green transcends all politics. We're going to head into the market and that's the great thing about our company, our welders don't care whether they're running on a environmentally managed project or a cowboys and Indian projects in South Texas. We're going to find a way to make money and honestly, I much prefer the guy that's progress, but at the same time, there's a lot to be said of a lot of positive towards us about the current administration and the kind of stuff they're doing with the renewables and the tighter operating specs for the operating companies.
Unknown Analyst: Is it fair to say on the large pipeline, this is from a conceptual viewpoint, I just think that since you own 1/3 of the company, if everyone is going to bother you if you miss, that you would rather be conservative in your guidance, under promise and overdeliver, and that there really isn't any fundamental difference in viewpoint on large diameter pipeline between Quantum Aztec and Primoris?
Brian Pratt: I think we've got better guys. So I think that's the only difference. We will deliver anywhere they want to and now Primoris -- they're handling about 30% of capacity, they just don't have that much. Most of our guys are very competitive, they're young guys, Danny and Steve, and the precision guys and they got a company called Bunker [ph], very competitive good guys, they're good competition, both of them. They understand market, they're not stupid, when they do the job, they expect pretty much the same kind of terms and conditions we expect. So I'm happy to have them on the business. And I think in the same market, we hold our own against them, we punch away.
Unknown Analyst: I think you have consistently delivered profitability and growth to the shareholders compared for everybody. So just wanted to thank you and I look forward to seeing you in November 14 to 15 at that Investor Conference in Dallas.
Operator: Our next question from the line Richard Wesolowski of Sidoti & Company.
Richard Wesolowski - Sidoti & Company, LLC: One quick one if I may. You spoke about the fourth quarter for PG&E pipeline integrity not being as large and turnover the alliance contracts. Is this potentially in 2012 the best that your California pipeline integrity revenue gets? Or are you still confident that '13 and '14 will be growth years?
Brian Pratt: I don't -- I think there's a ways to go growth wise. You've got the southern utilities entering into the next phase, which is the phase where they really start running the smart tools and they begin their mitigation process. We've been getting them set up. We're in the last year of kind of the set up stage, and they're getting ready to award the process of -- what they tell me what they want to do, is they want to is they want somebody else to develop the process of how they're going to monitor the integrity of these pipes and then hand it over to them. At least that's what Temprance' [ph] goal is, really have to gear up and bend a new wheel. And so we're kind of involved in that process. So entering the phase of getting the pipe ready to take the small tools and doings the house on fire kind of fix is a more long term, longevity kind of the want the marathon part of it. So we think that business will grow significantly. Engineers is just starting. They committed originally -- they are 3 or 4 years behind the other utilities because they chose a different method, if you go back, talk about it on some of the previous calls way back. They're just now, after the San Bruno incident, they've had to get into the rest of the pipeline owners out there. So they're just starting into this. As you can see, they have committed $2.2 billion over this year and last year and next year. And this year, they've only worked off so far this year less than $0.5 billion. So they're not even up to their current commitment and that was to kind of jump start their program and that got about -- that got the nasty pipes or the pipes that they were almost in most of the exposed areas, got those tested. They didn't even begin to do the massive replacement they need to do to bring this system up into a current safe environment. So I look for that business to grow substantially. Some of these programs don't put a lot of money in our pocket. They're not programmed to -- we don't do-- we don't lend the tools, we don't do the engineering, we don't do that other stuff. What you've seen in the first part of this PG&E spend has been a lot of that money that doesn't go to us. It goes to engineers and program management people. We make more and more of this stand to be richer towards us and for it to continue to grow. And then we'd like for this to grow nationally, we're in the position, where we kind of spoke of a little earlier, kind of opens up some new geographies and stuff for us, and that allows us to sell these services more nationally and we're really excited about those prospects. So we're going to take this show on the road and we think that revenues, the growth has really no conceivable cap at this point.
Operator: There are no further question at this time. I would like to turn the floor back to management for closing comments.
Brian Pratt: Okay. I'd like to thank everybody for your interest and calling in today. I want to offer special thanks to all of the team of the Primoris Companies. Our people are truly exceptional. Our current numbers are direct result of your hard work as is our long-endured reputation for excellence and professionalism. Thank you and goodbye.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.